Operator: Ladies and gentlemen, thank you for standing by. And welcome to the dLocal First Quarter 2020 Results Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions].  I would now like to turn the call over to your host. Sir, you may begin.
Soledad Nager: Thank you. Good morning, everyone, and welcome to dLocal’s First Quarter 2022 Earnings Call. On the call today, I'm joined by Sebastian Kanovich, our Chief Executive Officer; Sumita Pandit, our Chief Operating Officer; and Diego Cabrera Canay, our Chief Financial Officer.  We are providing a slide presentation to accompany our prepared remarks. This event is being broadcast live via webcast, and both the webcast and presentation may be accessed through dLocal's website at investor.delocal.com. The replay will be available shortly after the event is concluded. Before proceeding, let me mention that any forward statements included in the presentation or mentioned in this conference call are based on currently available information and dLocal's current assumptions, expectations and projections about future events. While the company believes that our assumptions, expectations and projections are reasonable in view of currently available information, you are cautioned not to place undue reliance on those forward-looking statements.  Actual results may differ materially from those included in dLocal's presentation or discussed in this conference call for a variety of reasons, including those described in the forward-looking statements and Risk Factors sections of dLocal's filings with the Securities and Exchange Commission, which are available on dLocal's Investor Relations website. Now I will turn the conference over to Seba.
Sebastian Kanovich: Hello, everyone. Thanks for joining us today. I'm pleased to share that we are off to a strong start to the year, delivering record Q1 results. Our business continues to show strong growth trends, and we continue to execute our business plan with both our existing and new merchants across our various markets. Our business continues to show resilience to specific factors impacting the global economy, such as challenges in logistics and specific geographies, the Russia-Ukraine conflict or changes in consumption from the return to work, high inflation in some developed markets as well as a higher interest rate environment. As discussed in our annual 2021 results, our business benefit from the inherent diversification across geographies, sectors and products, but has no exposure to Russia or Ukraine. Therefore, and despite the challenging global macro context, our total process volume surpassed the $2 billion threshold for the first time. We more than doubled our TPV increasing by 127% year-over-year. For the fifth consecutive quarter, we grew our revenue triple digits, reaching $87 million for the quarter and 117% increase over prior Q1 2021. We continue to retain our clients with a strong NRR of 190% in Q1 2022, as we grew wallet share with our existing merchants and had minimal churn. Adjusted EBITDA for the quarter grew 84% year-over-year to $33 million, with a strong adjusted EBITDA margin of 38%, in line with our margin levels in the second half of 2021. This was achieved while we continue to make disciplined investments in our infrastructure and people to support our long-term expansion strategy.  Our performance this quarter reinforces our strong growth momentum. And we expect to continue delivering growth, supported by the performance of our existing and new merchants using our platforms. On Slide 4, we have always operated with a philosophy of delivering disciplined, profitable growth. Our adjusted EBITDA for the first quarter of 2022 reached $33 million, increasing by 84% year-over-year. If we look at our adjusted EBITDA for the last 12 months of 2022, it has more than doubled compared to the last 12 months of 2021, reaching $114 million. That's 118% increase. In the last few quarters, given our strong profitability, we have continued to strengthen our cash position and our balance sheet. We believe this gives us continued flexibility to execute our long-term growth strategy. On Slide 5. As I have mentioned in the first quarter of the year, our TPV has more than doubled year-over-year. This significant increase has been supported by the fast growth of our global merchants. Our business model is not dependent on the performance and outlook of any single industry vertical. We have merchants from more than 10 different verticals, and every vertical is well balanced in our portfolio. No single vertical accounted for more than 20% of our TPV in Q1 2022.  Although Q1 2022 has been marked by a challenging global macro environment due to the specific factors I have mentioned, our business continues to benefit from the diversity of our merchants across industry verticals, geographies, products and consumer behavior partners. We have seen different verticals go to specific cycles, but our overall business benefits from verticals showing strong growth, while another vertical may go to a short term down cycle, balancing each other out. So while individual merchants may have idiosyncratic exposure to these factors, when we look at our overall volume, it remains quite stable. As you can see on the right hand side of the slide, I'm on Slide 5. All of our verticals show strong year-over-year growth in Q1 2022, with consumption experiencing the highest growth, increasing by more than 5 times year-over-year driven by both on demand delivery and commerce. On demand delivery experienced high growth as we've onboarded a leading Latin America on-demand delivery platform last year, and we have also grew existing customers by taking them to new geographies. Regarding commerce, we have seen our merchants scale their volume quickly, and we have continued to gain wallet share with these customers by adding new geographies and payment methods with them. Mobility increased by more than 2 times year-over-year, especially a struggle picked up pace around the world. Entertainment and services also experienced high growth, increased by more than 1.5 times year-over-year. I will now hand it over to Sumita to discuss our expansion strategy.
Sumita Pandit: Thank you, Seba. On Slide 6, our merchants are not only well diversified across diverse verticals, but also on a geographical basis. An important strategic priority for us is to continue to grow our business outside Latin America. We believe in the long run, this will further strengthen our business as merchants look for a single API and a single integration to access multiple emerging markets, including markets in Africa and Asia. We have continued to grow our presence outside Latin America, adding Ivory Coast and Rwanda to our infrastructure network during Q1 2022, bringing the total number of countries in which we make our services available to 37. We continue to add new countries based on where our merchants want us to serve them, as well as our internal view of the prospects for a new country across our merchant base and the wider industry. We typically have a merchant in waiting when we add a new country, and this enables us to generate a high ROI on our expansion into a new country. We believe that the infrastructure we are building across geographies makes us an important partner for our merchants to achieve their own growth objectives.  We are focused on growing with our merchants as they grow organically, adding new countries and establishing multiple local connections is complex and merchants value the infrastructure network we are creating. Slide 7. Our focus on building a global footprint has continued to yield results. We continue to see strong revenue growth across all geographies. Dollar revenues in LatAm increased triple digits by 116% year-over-year to $78 million. Dollar revenues in Africa and Asia also increased triple digit by 127% year-over-year and represented 11% of our total revenues in this quarter. Our revenues from Asia and Africa was $10 million in the quarter. As a comparison, for the full year 2021, our revenues from Africa and Asia were $21 million. We are pleased with our run-rate expectations for our business in Asia and Africa. We expect our share of Asia and Africa revenue to gradually increase overtime as we continue to cross-sell to merchants that originally started their relationship with us in Latin America to countries such as Nigeria, South Africa, India and Indonesia. We are also increasingly starting to see merchants initiate their relationship with us through markets in Asia and Africa and then expanding to Latin America. Slide 8. We continue to invest in our business, responding to the incremental opportunities we face. We are fully committed to further diversify our geographic footprint, especially in Africa and Asia. To accelerate this growth, Jacobo Singer, President of dLocal, is making South Africa his base for the near future to build the team, develop the dLocal culture and enhance our infrastructure and network setting the foundations for our long-term growth in the region. In early 2022, we also moved senior leaders to become general managers of our business in Asia and Africa. They have moved to Nigeria and Singapore, respectively in the last few months. Having senior executive members in these new regions also helps us emphasize and retain our dLocal culture. At the end of the first quarter 2022, we had 562 employees increasing by 54% or by 197 FTEs year-over-year.  During the quarter, we grew significantly in all areas with particular focus on technology and product and sales and marketing. Our headcount has significantly expanded outside the Americas as we focus on hiring locally to grow faster, reaching about 100 FTEs outside the Americas by the end of March 2022, increasing by 104% year-over-year. We are also proud to share that during the quarter, we’ve added more than 50-plus new payment methods in Asia and Africa. We continue to evaluate select M&A opportunities to accelerate our growth in those regions. Moving to Slide 9. During the quarter, we continued to onboard new merchants with strong prospects. We've added 10-plus new significant merchants to our portfolio, out of which five have started to process with us in Africa or Asia. We have been able to not only add new countries, but also to deepen our presence in the countries where we currently operate by bringing new merchants and upselling and cross-selling to our existing merchants.  We've included a few examples in EMEA and Asia to show our successful land and expand strategy. The increase in the total number of merchants in India, Indonesia, Nigeria and South Africa shows our continued success in scaling our business in new geographies.  For example, in India, we started our operations back in 2018. And during the first year, we provided our services to five plus merchants. Today, we are processing payments to 55-plus merchants in India. Our operations in Indonesia, Nigeria and South Africa are more recent, but we have more than doubled the number of merchants in these three countries since we opened up these markets.  Given our broad offering in terms of products, payment methods and geographies, our merchants value the convenience of a one-stop shop, and this gives us an immense opportunity to continue scaling our customers and increase the barriers of entry for our competitors. We remain laser focused on monetizing our existing client base and gaining share of wallet. Diego will now review our financial highlights with you.
Diego Canay: Thanks, Sumita. Let's start with Slide 10. We have seen strong TPV growth during the quarter. In Q1 2022, our TPV surpassed the $2 billion threshold, increasing by 127% year-over-year and 13% compared to the fourth quarter of 2021.  As mentioned in Slide 4, the growth is attributable to the performance and continued growth of our merchants across most verticals, particularly in on-demand delivery, travel, commerce, advertising and Software-as-a-Service. I would also like to highlight that we have experienced growth both in payins and payouts during the quarter. For payins, we have seen a steady increase in TPV quarter after quarter, specifically in Q1 2022, payins have tripled year-over-year. As we commented during our last earnings presentation, Payouts TPV has seen short-term fluctuations in Q4 2021. We are already starting to see improvement in our payouts volume with double-digit growth year-over-year and mid-single-digit growth quarter-over-quarter. Revenues also reached a new record high of $87 million during Q1 2022, having grown 117% year-over-year and 15% over the fourth quarter of 2021. As we have new merchants and scale existing ones, our revenue share from our top 10 merchants has continued to decrease from 62% in Q1 2021 to 52% in this quarter.  Our revenues over TPV, or take rate, was 4.2% during the quarter, slightly better than our 4th quarter 2021 take rate of 4.1% and fairly in line with the levels seen in 1Q ´21 of 4.3%. In this quarter, we saw a slight increase in the local to local share of TPV compared to Q1 2021. The local to local and cross border split for this quarter was in line with what we processed in Q4 2021. Let's move to Slide 11. Zooming in on our revenue, we continued delivering strong revenue growth both from our existing and from our new customers. Revenues from existing merchants are those revenues that are driven by merchants that were already processing in the same period of last year, and revenues from new merchants are those revenues that are driven by merchants that started operating with us after the same period of last year.  As our merchants typically have a three to six quarters ramp-up period, we believe the revenues from new merchants are just an indication of the potential of our new customers. During Q1 2022 of the 117% year-over-year revenue growth, 90% or 36 million came from existing merchants. Our revenue from existing merchants continues to grow from quarter to quarter, reaching $77 million in Q1 2022, more than doubling the $33 million that we achieved in the same period of last year. Our net revenue retention for the first quarter of 2022 was a strong 190%. We calculate net revenue retention as the revenues from existing merchants over the total revenues of the same period of last year.  As we commented in previous earnings presentations, we do not expect to maintain the same net revenue retention levels in 2022. 2021 represented an all-times high in terms of revenue and TPV growth, and therefore, we expect the comparison to get tougher starting from the second quarter of 2022.  We reaffirmed our expectations that we provided during our previous earnings in March 2022 that we expect to maintain a healthy net revenue retention north of 150% in the full year 2022. The remaining 27% year-over-year revenue growth or $11 million came from new merchants. This compares to the $7 million recorded in the same period of 2021 and $8 million in the fourth quarter of 2021, increasing by 61% year-over-year and 43% quarter-over-quarter. Moving to Slide 12. We continue to expand our gross profit and EBITDA. Starting with our gross profit, as we have mentioned in the past, our commercial focus is to increase our gross profit dollars per merchant. As a result, our gross profit continues to grow at a healthy rate. We were able to scale our gross profit to $44 million in Q1 2022, up 87% year-over-year and 12% quarter-over-quarter. Gross margin came at 50%, in-line with the margin levels seen during the second half of 2021. Our cost of processing for the quarter represented 2% of our TPV compared to 1.9% in the fourth quarter of 2021 and 1.7% in the first quarter of 2021. These increases were mainly driven by a change in business mix. Payins which have higher processing costs, increased the relative contribution, particularly year-over-year. Moving to adjusted EBITDA, it was $33 million for the first quarter of 2022, increasing by 84% year-over-year and 13% quarter-over-quarter. We are pleased that our adjusted EBITDA margin was 38%, in-line with our margin in the second half of 2021. For 2022, we affirm our expectations that we provided during the last earnings, but we expect our EBITDA margin to remain north of 35%. If we look at operating expenses for the quarter, excluding onetime and non-cash items, we see that they have grown 95% year-over-year as we expanded our team and other more senior members. In addition, we increased our travel and in-person marketing events as things went back to normal, and we also increased third-party professional services as part of becoming a public company. With that, I will turn the call back to Seba to conclude.
Sebastian Kanovich: Thanks, Diego. Before moving to the Q&A section of today's earnings call, let me say that we are excited about the opportunities that we foresee for the rest of 2022 to continue expanding our payments infrastructure across emerging markets. We remain committed to agile decision-making and providing tailored solutions for our merchants to help them achieve their growth plans in emerging markets where do we operate.  As shown throughout the presentation, our business truly benefits from the diversity of our merchants, geographies and consumer behavior patterns. Therefore, we reaffirmed our expectation of our net retention rate to be at 150 plus level in 2022, and we expect a healthy new client revenue based on the current pipeline we see despite the global and macro uncertainties.  Disciplined growth will continue to roll our business. We focus on making every merchant dollar accretive. Our strong performance of the quarter has led us to a combined revenue growth rate plus EBITDA margin of 115%. We continue to expect our EBITDA margin for the full year 2022 to be north of 35%. And we continue to expect operating leverage in the medium term and, therefore, the ability to expand our margins. Our business is stronger than ever before, but our aspirations are even greater.  We are just getting started. Thank you to our merchant, employees and investors for their continued support.  With this, I turn it back to the operator to open it up for questions. Thank you very much.
Operator: [Operator Instructions] And our first question comes from Jorge A Kuri with Morgan Stanley.
Jorge Kuri : Hi, Sebastian, Diego and Sumita. Thank you for taking the time to answer the questions. Can you hear me?
Sebastian Kanovich: Yes, okay. How are you? Good morning. 
Jorge Kuri : Yes, perfect. So I have two quick questions. First, could you share some color on TPV mix dynamics this quarter. I understand you don't provide guidance, but it has shown no correlation with e-commerce volumes in the region. So could you explain how should we think about TPV growth going forward? And my second question is regarding the EBITDA margins and investments in technology. You said that you are reiterating the guidance about 35% this year, you look for 38% this quarter. So could we expect lower margins in the coming quarters and a material increase in technology expenses going forward?  I ask because $1.4 million in technology expenses looks somewhat low relative to the growth opportunity and the scaling costs required to capture this growth? And also considering you are starting to ramp up other products like Issuance-as-a-Service, dLocal Go. So shouldn't it tech expenses ramp up? Thank you.
Sebastian Kanovich : Okay. Thanks very much for the question. Let me just add that, Jacobo our President, is also joining the Q&A today. So in terms of TPV mix, I'll let Diego give the dynamics in terms of growth, but fundamentally, we are seeing both products with very healthy growth. We've shared in Q4 the split and the evolution of those two products.  The reality is that we don't we don't -- we don't see the risk that way. We're always thinking of from a merchant standpoint and at times, they'll choose more payouts over payins. We are very bullish on both, and we think that they are both highly complementary.  In terms of your question around tax expenses, it's a fair point. We continue to invest really heavily on tech. If anything, that's a place where we've added the most headcount. Keep in mind, many of our hires are coming or all of our hires in the tech side are coming in emerging markets. So that's why you probably expect a slightly different cost structure than what you would expect from other companies hiring in the U.S. or even in Europe. We are not shying away from any expenses on the tech side. We want to make sure we continue to compound on our growth. And the way to do that is continue to add more geographies, more products and make our infrastructure more valuable. Diego, I don't know if you want to add something on the TPV mix?
Diego Canay : Yes, we are very happy that as we commented in Q4. We are already seeing payouts picking up. As we mentioned in the script, both payins and payouts grew quarter-over-quarter in the period. In the case of payins, mid-single digits. In the case of payouts -- sorry, in the case of payins, mid-teens. And in the case of payouts, mid-single digits.  And we see huge opportunities in both fronts. I mean in terms of take rate, as Seba mentioned, we are mainly focused on growing revenue and TPV is more like an output. Conceptually, typical TPV growth in-line with revenues are somewhat higher, but we don't guide on specifically on TPV.
Sebastian Kanovich : And Jorge, just to complement on your point, our guidance is not 35%. It's 35% plus in terms of--
Diego Canay : Yeah.
Jorge Kuri : Perfect. Thank you so much. 
Sebastian Kanovich : Thanks for your question. 
Operator: Our next question comes from Tito Labarta with Goldman Sachs.
Tito Labarta : Hi. Good morning, Seba, Sumita and Diego. Thanks for the call, taking my questions. First question, on the net revenue retention rate. And yeah, you're still well above the guidance at 190%. You're guiding for 150% plus. I think, Diego, you mentioned that should come down particularly because of tougher comps next quarter. So is that the right -- you should be much closer to that 150% in 2Q?  And also just to complement that, I think we've seen just e-commerce in general globally kind of suffering a bit on streaming services showed subscribers following, yet you continue to deliver. Just can you give some color on sort of like the health of your merchants, particularly with what we're seeing happening globally and how that could impact growth and the net revenue retention rate? Thank you. 
Sebastian Kanovich : Sure. Tito, I'll take the second part of the question, and Sumita will cover the first part. So -- we are very proud of the quarter we just posted. It's been our best quarter ever. And I think it's a function of our business being extremely diversified in terms of products, geographies and most importantly, vertical. No single vertical accounted for more than 20% of our revenues in the last quarter.  So we do expect to see different verticals going through ups and downs. We've seen it again and again in our history. We've seen it last year with COVID. But even through crisis like those, we managed to grow. And the reality is that having a very diverse business with no concentration whatsoever, we believe as such we have a very strong hedge.  The other thing is that emerging markets continue to be a focus for the companies we serve. Many of our merchants are having harder time to find growth in their core markets and they continue to dial down in the emerging markets where we operate. So genuine diversification, making sure we are serving them with more products across more geographies. We think it's going to be a predictor of our growth in the future, and that's our core focus.  Sumita, I'll let you cover on the NRR side.
Sumita Pandit: Thanks, Seba. I think the point I would also emphasize is that this is our fifth consecutive quarter of triple-digit growth. As you saw, we have grown 117% year-over-year as far as our revenues are concerned, and I think it's coming from both existing and new merchants.  On existing merchants, I think we've been pretty consistent about where we think our NRR will mature. We've always said it is around the 150% plus NRR region. As you've seen last quarter, our NRR was 198%. This quarter, we are at 190%. Our expectation for the full year is 150% plus. I think there will be some, I would say, changes quarter-over-quarter over the next few quarters.  Keep in mind also that last quarter -- the second quarter of last year was a very high benchmark, meaning that we had an excellent performance last year. So you expect the NRR for the next few quarters to reflect that. But we are still extremely bullish, and we believe that we will stick to our 15% plus NRR expectation for the full year.
Tito Labarta : Great. Thank you, Seba and Sumita. And then a second question, just a follow-up on the EBITDA margin and kind of margins in general. You said above that 35% plus margin that you're guiding for expenses to grow a little bit less than revenues. Just in terms of how that kind of may evolve through the year? I think previously, you mentioned maybe the first half of the year, you see a bit more pressure on margins. I don't know if how you tailor investments throughout the year, if there will be any seasonality effect in terms of the margin outlook? And also just specifically on the gross margin, which was a little bit lower this quarter. Can you talk about just the different dynamics or different margins between, I think, payins versus payouts, which one has better gross margins or which of the products impacted the margins specifically?
Sebastian Kanovich : I'll take the second part, and I'll let Sumita cover the first part. So in terms of gross margin, we are extremely proud to have added $5 million in gross margin quarter-over-quarter. We think that's an extremely healthy metric, and that's a function of our NRR kicking in at the levels that it has. We are never optimizing for a gross margin percentage. I think we discussed this in the past, we'll always create lower gross margin percentage for more dollar amount. That's how we optimize -- that's how we are running our business. When we ask our commercial teams and the way we incentivize them, it's purely on gross profit dollars to make sure that we are adding more dollars to our -- sorry, to our P&L. All those dollars are very accretive, and we make sure that every dot that comes into our platform contributes to that margin.  Different businesses and different products will have different margin profiles. And that's a function of how big those partnerships are in which geography we are operating. And it's very hard for us to predict exactly where is that going to land in terms of percentage. We think it's a very stable situation where we are today. But again, I want to emphasize the fact that we are entirely focusing on the dollar amount that we are optimizing for, and that's the way we incentivize our team.  Sumita, I'll let you take the first part of the question.
Sumita Pandit: Thanks. So I think if you look at our gross margin, our gross profit has actually increased 87% year-over-year and 12% quarter-over-quarter to $44 million this quarter. And our gross margin depends not only on our pricing and on our cost structure, but also on the product mix and the relative growth of each cohort.  So if you think about our cost of services as a percentage of TPV for the first quarter, it's about 2.1% compared to about 2% a quarter ago. And this increase is mainly driven by a change in business mix. Payins have a slightly higher processing costs, and they did increase their relative contribution this quarter.  But again, keep in mind, when we are selling, when our sales team is out there in the field, getting the merchant to give us more volume, we are quite indifferent between payins and payouts. We are not optimizing for that mix. We are optimizing for wallet share, and we're always optimizing for gross profit dollars. But yes, payins the relative contribution went up a little bit, and payins have a higher processing cost for the payment methods that increased this quarter.
Tito Labarta : Okay. Great. Thank you. And sorry, just in the first part of the question also in terms of just any seasonality in terms of like the EBITDA margin and like your hiring and other investments?
Sumita Pandit: I can take that, Seba. I think that we don't have a typical seasonality that you would expect in other businesses. I think we have a lot of discretion in how we can ramp up our cost base, especially related to hiring. I would emphasize that a market like today is excellent for our business. I think everything that you're seeing outside makes us stronger. As you know, we are profitable. And that gives us a huge strategic advantage in a market like today, where we can go out and get really good talent to come and join us. So this is actually a great opportunity for us.
Tito Labarta : Okay, great. Thank you, Sumita.
Operator: Our next question comes from Jason Kupferberg with Bank of America.
Jason Kupferberg : Hi, guys, I wanted to ask a follow-up on the NRR. I know you're maintaining the full year guidance. Obviously, you started the year really strong. I mean, I guess I'm curious to 190 in Q1. How did that come in versus your expectations? And do you now have a higher degree of confidence in potential upside to the 150 plus target for the year, just given the strong start that we've observed?
Sumita Pandit: Thanks for the question. So -- sorry, go ahead.
Sebastian Kanovich : Go ahead, Sumita.
Sumita Pandit: Thanks for the question. I think on the NRR, as I said, we continue to emphasize that we will be 150% plus NRR. I think we are not changing our outlook yet. I think that was our expectation at the beginning of the year and the management team stands behind those numbers. I think that we've had a really good quarter again this quarter, and we feel bullish. As I said that for the next few quarters, you will see some quarter-over-quarter changes because the comparison quarters of last year were very high. But for the full year, we stay pretty focused on delivering a 150%-plus NRR.
Jason Kupferberg : Okay. So it sounds like you just want to be conservative, which is obviously understandable. I was curious also just on top-line metrics in general, how those have trended through the first half of the second quarter? And just any seasonal considerations you want us to keep in mind from a modeling perspective as it relates to volume growth, revenue growth?
Sebastian Kanovich : Jason, we continue to see strong underlying trends. Obviously, we are here discussing Q1 results, and it's very early in Q2. I think fundamentally, we've never been a better business and that's what we as management are optimizing for. We want to make sure we have more touch points with our merchants. That means more products, more tools for our salespeople to go out there and continues to drive a lot of our growth.  So nothing has significantly changed as of now. We continue to be very bullish about the prospects for everything.
Jason Kupferberg : Okay. Well, nice to see these results. Thank you for the comments. 
Sebastian Kanovich : Thanks. 
Operator: Our next question comes from Neha Agarwala with HSBC.
Neha Agarwala : Hi, thank you for taking my questions. Can I just clarify first on your revenue concentration, did you mention that it has -- in the top 10 merchants has it declined to 52% in the quarter?
Sebastian Kanovich : Diego?
Diego Canay : Yeah, that is right. We were in 62 last year. We are in 52 now. I think we guided for 50 in Q4. We have that -- so we are on those numbers.
Neha Agarwala : Okay. And in terms of TPV growth in the coming quarters, are you cautious in terms of a general global slowdown could impact the overall TPV growth in some of your key merchants? And do you have any kind of sensitivity as to what kind of exposure would you have towards the slowdown in the economy?
Sebastian Kanovich : Sure, Neha. Thanks for the question. So many of the things or many of the reasons you've seen for others to slow down, particularly in Europe, we have exposure to. We discussed it in Q4, we have no exposure to Russia or to Ukraine, whatsoever. Our business is entirely focused in emerging markets, which continues to be some of the fastest growing regions in the world.  We are very diversified. So no particular -- we don't have any concentration by country and by vertical. That's a very important hedge in our business. We've been through crisis before in Latin America, in Africa, in APAC, and we've been able to continue to grow and post really high levels of growth.  We might see verticals going through lower growth cycles, and that's perfectly normal. But that's why we care so much of having a very diverse customer base. We'll see winners and losers in the future. Definitely, we continue to expect so. But our business has shown resilience to those exposures in the past.
Neha Agarwala : That's fair, Seba. And my last question is on gross take rate. Throughout last year, we have seen compression in the gross take rate except for the fourth quarter. And this quarter, again, there was some pickup in the gross decrease. So I think from your comments, it seems that it's almost entirely explained by higher share of payins versus payouts, which led to the increase in gross take rate. But how do you see this evolving in the coming quarters? Do you think as payouts maybe gather more traction in the second half of the year, you could see some more pressure on the gross take rate?
Sebastian Kanovich : Neha, thanks for the question. We are not optimizing for take rate. So we've been able -- and that was important for us to be able to show that take rate goes up and go down. You've seen that effect last year. So we might continue to see the same evolution. It's a function of our business mix, who are the merchants that are growing the fastest, what are the regions that are growing the fastest and what are the products.  We don't optimize for our gross take rate. We don't think that's the right way of building our business. We are optimizing for gross profit, making sure that every dollar in our platform contributes to our margins. And that's, again, the way we incentivize our commercial team.  So we'll happily take deals at lower take rates, provided that they contribute to our gross profit margin. Ours is a business that benefits from scale. And we've always start up the business that way, and we intend to continue to do so. The fact that we've always had this approach of disciplined profitable growth. I think it's very much baked in in our DNA as a company. We are -- we never optimized for just top-line. We always make sure that, that top-line contributed to our margin, and that hasn't changed today.
Neha Agarwala : Perfect. Thank you, Seba, Sumita, Diego for your comments. And congratulations on your earnings. 
Sebastian Kanovich : Thanks, Neha.
Operator: Our next question comes from Kaio Prato with UBS.
Kaio Prato : Hi, Seba and team. Thank you for the opportunity to ask questions. I have two on my side, please. The first one is on the financial losses that you posted this quarter. So as per my understanding, and please correct me if I'm wrong, you are not directly exposed to higher policy rates in Brazil and Mexico as all the prepayment is done with your acquirer partners, and you just charge a fee for this?  And as you have a net cash position today in this environment of higher policy rates, it would be likely to have a positive impact into your financial results. So if you could please detail a little bit what drove these financial losses this quarter? And what can we expect going forward? And then I will ask my second question, please.
Sebastian Kanovich : Sure. Diego, do you want to take it?
Diego Canay : Sure, Seba. So this quarter was very particular for financial results. As you know, there were appreciation of several emerging market currencies at the Brazilian real, Chilean peso, Colombian peso and so on. We are very conservative whenever we have excess of funds, and we keep them -- if we keep them in emerging markets, we keep it in U.S. dollars.  An example of this could be any earnings spend in distribution we keep them in U.S. dollars. As the functional currency, and this is more an accounting thing, as a functional currency of these countries are the local currencies. Whenever you have U.S. dollars, is that considered foreign exchange? And if a currency -- a local currency evaluates, you will have a loss for having U.S. dollars, right?  So at the end of the day, we have the same U.S. dollars, but because of having those U.S. dollars in these emerging markets, from an accounting perspective, we have to record an FX loss. But typically, in all quarters, happens to the opposite, and we have slight financial results as again, that is the main reason of that.  But if you look at what eventually you will see it in the financial statements. If you look at the equity, you will see that we have an opposite effect of roughly $1 million in translation adjustment. That is typically reversed whenever we consolidate the local entities.
Sebastian Kanovich : Kaio, if I may just comment on that. Our business is bought and accounted for in dollar amount. FX fluctuations are going to be marginal in regards to that dollar expected amount. What you discussed on the financial losses, it's a pure accounting treatment question in terms of how we hold our own products our own funds and how we need to account for that.  But you'll see that our business continues to perform very closely to the expected dollar amount. Why, because there are natural hedges in terms of what are the products we serve. So payins, payouts act as a natural hedge to currency exposure. But also, whenever we have exposure to local currency, we make sure we hedge our position.  Ours is a transactional business. We are not in the business of taking FX positions. And if anything, you've seen that we might have -- we probably benefited marginally during this quarter. We have marginal losses in the past, but you should expect our dollar to be very constant in the amount. And the other important thing is that our net income continues to grow. We posted $26.3 million of net income in this quarter, and that's a really important metric for us as well.
Kaio Prato : Okay. Great. Thank you. And just on my second question here is that the company launched, I think in the recent weeks, a new initiative called dLocal Go, which I understood is targeting SMBs. So it's a new platform, focused mainly on startups and SMBs, which is differently from the focus of the global merchants that you already had.  So if you could please detail a little bit about this opportunity? And why would you focus on this at this moment and given the huge opportunity that you used to have on the global merchants, please?
Sebastian Kanovich : Sure, Kaio. Thanks for the question. So we've launched dLocal Go a few days ago, so it's extremely early. We've always been consistent that we are believers in volumes in emerging markets coming either through Tier 1 merchants of global enterprises or through smaller companies selling to marketplaces. dLocal Go is our effort to make sure we are catering smaller merchants that have the ecosystem by to marketplaces.  We want to make sure that merchants have the ability of onboarding into us better and faster and have an easy experience to navigate, and that's the reason behind. We continue to be very bullish about our existing core business. None of dLocal Go is baked into our forecast. So this is, if anything, a potential upside to everything we do. But at the same time, we see an opportunity, and we want to make sure we are serving more smaller merchants that have participation through market space.
Kaio Prato : Okay, great. Thank you, Seba. Thank you very much. 
Sebastian Kanovich : Thanks, Kaio.
Operator: Next question comes from Andrew Bauch with SMBC Nikko Securities.
Andrew Bauch : Hey, team. Thank you for taking the question. I wanted to follow up on your comments around M&A in Asia and Africa. We haven't seen you really do anything at super transformational thus far on that front. And so if you could give us a little bit of color on what types of capabilities you'd be looking at? Is it something horizontal or maybe something to help build out the tech stack even further?
Sebastian Kanovich : Sumita, you want to take it?
Sumita Pandit: Yes. Thanks, Seba. Thanks for the question. I think we've always been consistent about we think we may use M&A as a strategic priority for us going forward, which is we will make sure that the M&A that we are going to do is additive to what we are building internally. As you are aware, the entire tech stack that dLocal has been built in-house, and we want to be careful about what kind of an M&A we do.  Last year, we did a small deal called PrimeiroPay in Brazil for about $40 million. That's been really, really accretive to our business. In that case, we went after a platform that had some merchants where we felt there was going to be acceleration in our ability to onboard those merchants, which is why we acquired PrimeiroPay. That's the kind of deal we are looking for, which is either it needs to add to a commercial footprint for us or gives us more access to a certain geography where we think building organically could take us longer. And we remain focused.  So yes, we've not announced anything transformational, but we are very carefully following the current market environment today. impact the current revaluations of assets presents us with an amazing opportunity, and we remain focused on seeing if there was an M&A transaction that we could execute that would be accretive to us. Having said that, nothing is imminent as of today.
Andrew Bauch : Got it. Makes sense. And then hoping you could walk us through kind of the conversations you're having with your existing enterprise merchants when you start to expand into these new geos. Is there competitive dynamics that you face when you move into those new geos in regards to taking the share of wallet for your existing merchants in a new location? I just want to better understand the conversations you're having there.
Sebastian Kanovich : Sure. Andrew, thanks for the question. So we built the whole platform in local on the premise that it's one API, one contract and one platform for everything we do. So it's extremely simple for merchants to expand with us. That's the key driver behind our NRR. Merchants start with us in one geography, and they continue to move into other products and geographies without any friction. That's why you see us continue expanding geographically. We want to make sure we have more attachment.  So typically, what you'll see is that our customer merchant of our starts in one, two, three geographies and very quickly decided to expand into more places. Obviously, we need to reflect the dynamics in the new places where we are going to be funding. So what is it going to be the cost structure, what's the right pricing? But it's always our expansion. Keep in mind, we exist as a revenue enabler. We go to our merchants, and we allow them to collect more dollars or disburse more dollars. And that's the type of discussion we have with them. We also try to listen to their needs and reflect that in our own strategy. We are lucky enough to have some of the biggest and most savvy companies on earth. So whenever they point us into an opportunity, we typically know that, number one, there's going to be a merchant in waiting before we expand. But number two is that, that opportunity is huge.  So that continues to be our key focus. Our existing merchant base is growing fast, and it's some of the most savvy companies on earth. So that's the way our discussions work. We start somewhere. Where do we go next? What is the next product? What's your next point? And how can we solve for that? All that goes into our gross profit. So every time we integrate one, and there's no additional integration effort whatsoever. For many of our companies, tech resources are scared. So having those integrations, it's a huge distribution advantage.  Someone that started with us in India can then easily moved to Mexico or to Brazil. Someone that started with us in Brazil can easily move to Nigeria. And that's a beautiful platform.
Andrew Bauch : Very clear. Thank you. 
Operator: Our next question comes from Chris Donat with Piper Sandler.
Chris Donat: Good morning. Thanks for taking my questions. I wanted to ask another one about your merchant conversations, given the challenges globally around higher interest rates, higher inflation, the logistics. Us anything changing with conversations with merchants? Or is it still very much they're focused on the things they were focused on a year or two ago with their plans for moving into emerging markets? Like has anything changed from their perspective?
Sebastian Kanovich : Thanks for the questions. No. We have seen no changes in plans. If anything, again, emerging markets continue to be a very promising land, if you will, and the areas where we operate are very fast growth. So our merchants are saying how do we make sure we navigate these countries, how do we make sure we have the right offering. And that's the sort of conversations we're having.  We haven't seen merchants deciding to retreat from emerging markets, quite the opposite. Many of them are finding a hard time growing in China, Europe and the U.S. And most of their growth is coming from LatAm, from APAC, from Asia, and we benefit from that. So that's the way -- that's what we are seeing today on the ground.
Chris Donat: Okay. That's very helpful. And then as we think about the revenue from new merchants and the comparisons from 2021, the new merchant revenue was so strong. Is it reasonable to expect that 2022 in general, should be down? I think you said that last quarter in terms of revenue from new merchants. And I know you don't specifically guide, but just ballpark, it is a challenging year, right, from how much revenue from new merchants you pick relative to 2021. Is that fair to say?
Sebastian Kanovich : Sure. Sumita, do you want to take it?
Sumita Pandit: Yeah. So I think we've always delivered solid numbers for our customer additions. I think this quarter, we've indicated that we've added 10-plus significant customers during this quarter. I'll highlight that these are significant customers. We've actually added many more than 10, but we always like to look at our new customer additions and look at what is the prospect of increasing those customer relationships.  We think we have several opportunities on the way, and we remain extremely bullish on our new client opportunities. As you would have noted, when we gave our guidance for the full year, we gave you a net retention rate guidance of 150% plus, but we did not give you a new client revenue guidance. And the reason is that when we add merchants to our platform, we have a lot of visibility on when those merchants will onboard with us, but we do not have as much control over how quickly the volumes exactly ramp up. Sometimes that happens in two quarters, sometimes that happens in three quarters, and there is variation in the ramp-up of the volume. As you saw, our new merchant revenue in this quarter was $11 million that compares extremely well with the $8 million last quarter and the $7 million, if you do it on a year-over-year basis. And we believe that our new customers with these quarters are extremely strong, and we are extremely bullish, but we are not giving a specific guidance on what our new client revenue would be?
Chris Donat: Understood. Thank you for the context there. 
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back to management for any closing remarks.
Sebastian Kanovich: Once again, thanks, everyone, for your time and for the questions. We continue to be extremely bullish about our business. And thanks to our team for all the support. This is entirely because of them. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.